Operator: Good day, ladies and gentlemen, and welcome to the Orion Energy Systems Fiscal 2021 Fourth Quarter Conference Call. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like to turn the call over to Bill Jones. Sir, you may begin. 
William Jones: Thank you, and good afternoon, everyone. Michael Altschaefl, Orion's CEO and Board Chair, will open today's call with an overview and discuss the current business outlook. Orion's CFO, Per Brodin, will then review additional financial items, after which we will open the call to questions.  
 An archived replay of this call will be available later today in the Investor Relations section of Orion's corporate website. This call is taking place on Tuesday, June 1, 2021. Remarks that follow and answers to questions include statements that the company believes to be forward looking within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements generally include words such as anticipate, believe, expect, or words of similar importance. Likewise, statements that describe future plans, objectives or goals are also forward-looking statements.  
 These statements are subject to various risks that could cause actual results to be materially different than expected. Such risks include, among other matters, matters that the company has described in its press release issued this morning and in its filings with the Securities and Exchange Commission. Except as described, the company disclaims any obligation to update forward-looking statements, which are made as of today's date only. Reconciliations of certain non-GAAP financial metrics to the corresponding GAAP measures are also provided in today's press release. This is available on the Investor Relations section of Orion's website, www.orionlighting.com.  
 With that, let me turn the call over to Mike. Mike? 
Michael Altschaefl: Thanks, Bill. Good afternoon, everyone, and thank you for joining us today. Orion executed a strong finish to fiscal '21 with nearly $117 million in revenue and improved gross margin; net income of $5.2 million, exclusive of a tax benefit; solid operating cash flow; and a very strong balance sheet. It was really a tale of 2 halves of the year, with the first half severely impacted by the COVID-19 pandemic, and the second half demonstrating a return to the true strength of the business platform we have built.  
 Revenue in the second half of fiscal '21 rose 33% over the year ago period to nearly $80 million, driven by pent-up project demand, as many customers returned to pre-COVID levels of activity. Our strong rebound and full year performance was possible as a result of the hard work and dedication of the entire Orion team. The perseverance of our people throughout the pandemic has been amazing. The commitment of our people enabled us to successfully navigate the pandemic challenges and to emerge as a stronger and more diversified company with a broader set of growth opportunities and long-term potential.  
 Our people are clearly what make Orion a successful company.  
 During fiscal '21, we worked to expand and diversify our customer base and our business pipeline. As a result of these efforts, our largest customer represented about 56% of fiscal '21 revenues as compared to 74% in fiscal '20, our first full year of business with this customer. We believe this customer will remain an important but smaller part of our business in the coming years, with its share of our annual revenue expected to be about 1/3 of our total revenue in fiscal '22.  
 We achieved this progress through our success in developing significant new national account relationships in our efforts to broaden our product and service offerings. Our primary differentiator in our markets is our turnkey business model with its single source of accountability. Our fiscal '21 performance was largely driven by strength in providing these solutions to national accounts. Orion's turnkey solutions begin with an in-depth dialogue regarding a customers' needs and objectives, followed by individual lighting and energy audits at each customer site. 
 We then custom engineer products and services to achieve specific customer goals, following with rapid order production via U.S.-based manufacturing, supported by global sourcing experience with on-time delivery to each site. Orion then overseas installation and commissioning of lighting systems and controls, providing overall project management every step of the way. In addition, we are now able to offer the option of Ongoing Maintenance Services. 
 Customers with extensive national operations appreciate the value and efficiency of centralizing their LED lighting retrofit or new construction process with one highly experienced point of contact. They also value Orion's proven commitment to the highest levels of customer service, including on-time delivery, high-quality components, industry-leading energy efficiency as well as our ability to incorporate a wide range of technology, not only for lighting controls, but also IoT data systems, which together provide a very strong and compelling product offering and an even more attractive ROI to our customers.  
 The primary value proposition of energy-efficient LED lighting is reducing our customers' ongoing energy costs, which drive their ROI economics. At the same time, we help our customers meet their environmental goals by reducing their carbon footprint. Our growth opportunities and future success also depend on our ongoing investment in new product development and continued enhancement of the design, performance and capabilities of our LED lighting fixtures.  
 Innovation and smart product design are core to our strategy and competitive position. We strive to develop new and custom products that deliver improved performance, including reduced energy consumption, better quality of light and safer work environments to meet the evolving needs of our customers. In fact, helping our customers achieve environmental, safety and operational goals is core to what we do at Orion and also key to enhancing our overall margin profile.  
 Successful new product introductions over the past year included our next-generation Starline high-bay LED fixtures, several new LED linear fixtures and a new line of exterior fixtures that combine smart design, excellent illumination and energy efficiency in a competitively priced product line. In an effort to expand our healthy, safe and sustainable product offerings, we recently launched our new PureMotion product line, which provides airflow solutions for healthier indoor spaces.  
 The PureMotion line is designed for standard drop ceiling panel systems and offers enhanced air flow solutions, including a stand-alone airflow solution, an airflow plus LED lighting solution and an airflow plus UVC solution that circulates air through a sealed UVC light ray chamber in the ceiling to safely kill virsues, germs, bacteria and mold. Air circulation also helps to eliminate hot cold spots, providing a greater comfort, along with energy savings. These products further enhance our ability to provide safer and healthier work environments and are ideal for almost all indoor application, including health care, education, commercial and community facilities. We expect the PureMotion line to build on our reputation for healthy, safe and sustainable workplace solutions. 
 During fiscal '21, we launched Orion Maintenance Services, a lighting, electrical and other services business. We identified both the need and the opportunity for this business through the execution of our turnkey solutions for major national accounts, and we gathered supportive feedback for the concept from several customers.  
 Fiscal '22 will be the first full year of operations for this new division, and though it will start off small in scope relative to our other business lines, we are optimistic about its potential synergies and the long-term opportunity to build a recurring maintenance revenue stream. We expect fiscal '22 to benefit from a growing base of large national account customers and projects, particularly large enterprises interested in the unique turnkey capabilities, industry-leading products, growing base of service as a commitment to customer service that Orion provides.  
 Backing this up is, is our expanding track record of success in rolling out large national installation programs, both on time and on budget. We remain very encouraged by new and existing customer dialogues and our developing pipeline of opportunities, particularly for energy-efficient LED lighting retrofit and new construction projects planned or contemplated over the next year or 2.  
 Given our strengths as a company, we expect our business could also benefit from the new administration's focus on clean energy and infrastructure as well as Orion's overall focus on healthy, safe and sustainable solutions that are of increasing interest to our customers. With all of these tailwinds benefiting our business, we nonetheless are facing a couple of headwinds. We are experiencing some challenges in our supply chain.  
 Worldwide electronic shortages, domestic and international logistics delays and other raw material and component shortages as well as general inflationary price pressures are creating some obstacles. In addition, like many other businesses, we are experiencing some labor shortages. However, the Orion team continues to effectively work through these challenges, meeting the needs of our customers.  
 I will now turn to our future. Orion's vision is helping our customers to achieve energy savings with healthy, safe and sustainable solutions that enable them to reduce their carbon footprint and digitize their business. Our mission is to provide energy-efficient LED lighting systems and turnkey project implementation, including installation and commissioning of fixtures, controls, IoT systems as well as ongoing system maintenance and program management.  
 Our strategic plan has 5 initiatives: first, we will focus on direct sales with an emphasis on large opportunities in all of our market channels. Our single source of accountability, turnkey, project and program management capabilities are our most valued differentiators in the marketplace. We have strong credentials and have the people, systems and processes in place to be successful. In addition, there remains tremendous market opportunity.  
 Second, we plan to build our new Orion Maintenance Services division. We already have strong credentials in place with our existing customers. We believe this new division provides us with the opportunity to generate significant recurring revenue streams with the possibility of multiyear contracts.  
 Third, we intend to expand our control and IoT capabilities. We are positioning Orion for a leadership role in the substantial long-term growth opportunity that we anticipate from the increasing digitization of business through IoT-enabled systems. We believe that we are well situated to be a one source solution for our customers' entire system, including system design, engineering, installation of lighting fixtures and controls, commissioning controls, integrating IoT technology, linking lighting, energy management and operational controls into management's dashboard systems and providing ongoing service. 
 In this role, we intend to remain technology-agnostic and qualified to work with many of the leading IoT solutions in the market. We believe this strategy is a competitive advantage as our customers can utilize different technologies at different locations, where they may have a specific solution preference or where they simply seek an impartial introduction to new possible solutions. We have the opportunity to own the [ fielding ] technology landscape.  
 Fourth, we intend to continue to develop higher-margin products and services. We believe we have the ability to continue to develop healthy, safe and sustainable products for our customers. In addition, since our business model is to be close to the end user of our products and services, we are able to listen and understand their future needs and develop products and services to meet them.  
 The fifth and final initiative of our strategic plan is to actively pursue potential business acquisitions, which would add expanded and unique capabilities to our product and service offerings, potentially transforming our business. We believe the current business climate in our industry could create some attractive acquisition opportunities. The goals of our potential acquisitions include adding recurring revenue streams, accelerating the ramp-up of our maintenance services business, adding new products and services and entering new markets, such as solar, EV charging and energy storage.  
 We are aggressively pursuing opportunities that fit with our existing customer base and leverage the strength of our turnkey capabilities. To date, we have extended a number of indications of interest in proposed letters of intent and term sheets to acquire certain companies that we believe fit our expansion and growth criteria. We expect to continue to do so, although we don't plan to publicly announce any of these ongoing efforts unless and until we enter a definitive purchase agreement.  
 In an initial modest step, we recently completed a $500,000 strategic investment in ndustrial, a provider of IoT software and services that provide new levels of data, analytics and business insights used to optimize industrial performance. Its software enables customers to better aggregate, access, analyze and act on data. We see synergies with what ndustrial is doing and the connected [indiscernible] capabilities that our lighting systems provide to host sensors and controls.  
 We believe this investment will help Orion to extend our customer value proposition and enhance the potential return on investment of our LED lighting systems and controls. As a result of these factors and initiatives, we believe that Orion is well positioned for fiscal '22 revenue growth of at least 28% to a range of $150 million to $150 million (sic) [$155 million ] excluding any recurrence of COVID-19 business impacts or significant worsening of our supply chain or labor shortage challenges.  
 This view is based on the strength of our new and existing product offerings, our turnkey design, build install capabilities and our expanded portfolio of solutions and services. In addition, we are also progressing efforts to identify and pursue potential strategic acquisition and partnership opportunities that can accelerate our growth. 
 Underscoring our optimism is the enormous untapped market for LED lighting and controls upgrades at facilities that have yet to be updated. Based on a U.S. Department of Energy study, the domestic LED retrofit opportunity in Orion's key markets is estimated to be in excess of $20 billion today and growing to over $80 billion by 2035. To pursue this substantial market potential, Orion's Board and management team have updated the company's strategic plan to help guide our organic and inorganic growth initiatives, with a long-term target of building Orion into a company generating up to $500 million in annual revenue in approximately 5 years.  
 To achieve this long-term target, our plan envisions organic growth of at least 10% per year, augmented by external growth initiatives, including the active pursuit of strategic acquisitions and business partnership. We set these financial goals to provide our stakeholders with a vision of what we believe Orion can become. 
 Now let me turn the call over to Per Brodin, Orion's CFO, for additional perspective on our financial results. Per? 
Per Brodin: Thanks, Mike. Orion's fourth quarter fiscal '21 revenue increased $9.6 million or 37% to $35.5 million from $25.9 million in Q4 fiscal '20, supported by strong national account activity as businesses rebounded from pandemic-related disruptions earlier in the year. Q4 '21 benefited from several large national retrofit projects, including projects for a large national retailer and a specialty retail customer with minimal COVID-19 impacts.  
 We achieved full year fiscal '21 revenue of $116.8 million, despite the significant challenges presented by COVID-19 work stoppages and project delays that began last March and continued through mid-August. Orion's gross profit improved to $9.2 million in fourth quarter fiscal '21 from $5.8 million in fourth quarter fiscal '20, and our gross profit percentage improved to 26% from 22.3%.  
 For the full year, gross profit was $30.1 million in fiscal '21 versus $37.1 million in fiscal '20, primarily related to lower revenue. Our gross profit percentage increased 120 basis points to 25.8% in fiscal '21 from 24.6% in fiscal '20 due to improved product margin as well as supply chain and input cost management. 
 Fourth quarter fiscal '21 operating expenses were $6.7 million versus $6.1 million in the prior year period, improving to 18.8% of sales versus 23.7%  in the respective periods because of the impact of significantly higher business volume. Total operating expenses declined to $23.3 million in fiscal '21 versus $24 million in fiscal '20.  
 Orion generated EBITDA of $2.9 million in the fourth quarter of fiscal '21 compared to 0 in fourth quarter fiscal '20, reflecting higher revenue and gross margin. Fiscal year '21 EBITDA was $8.4 million versus $14.7 million in fiscal year '20 and reflecting lower year-over-year business volume.  
 The fourth quarter and fiscal year '21 included a noncash tax benefit of $20.9 million or $0.67 and $0.66 per share, respectively, for the release of valuation allowances or reserves previously recorded against our deferred tax assets. Including this benefit, Orion reported fiscal fourth quarter '21 net income of $22.1 million or $0.71 per share compared to a net loss of $0.5 million or $0.02 per share in the year ago period.  
 Orion's full year net income was $26.1 million or $0.83 per share compared to prior year net income of $12.5 million or $0.40 per share. These results will make future direct comparisons difficult without adjustment. I'll repeat that this tax benefit is a noncash item. The upshot of recording this item is that our future tax provisions will likely be more reflective of actual statutory rates in place at the time. Those provisions will not indicate that we are generating a cash tax liability under current tax laws. Rather, we plan to utilize our approximately $70 million of tax NOL carryforwards to offset future tax liabilities. 
 Our press release includes a reconciliation of net income and EPS to net income and EPS, excluding the tax benefit for your reference. Fourth quarter '21 net income, excluding the tax benefit, improved to $1.2 million or $0.04 per share versus a net loss of $0.5 million or $0.02 per share in the fourth quarter of fiscal '20.  
 Also, excluding the tax benefit, fiscal year '21 net income was $5.2 million or $0.17 per share compared to $12.5 million or $0.40 per share in fiscal '20. Orion's balance sheet as of March 31, 2021, remains strong, with net working capital of $26.2 million, including $19.4 million of cash and cash equivalents and no balance outstanding on our new expanded $25 million revolving credit facility. This compares to net working capital of $27.8 million at March 31, 2020, which included $10 million drawn on the company's revolving line of credit as a precautionary measure at the outset of the COVID-19 pandemic. 
 And with that, I'll turn the call back over to the operator for the Q&A session. 
Operator: [Operator Instructions] Our first question comes from the line of Amit Dayal from H.C. Wainwright. 
Amit Dayal: Mike, with respect to the services business, could you give us some color on how this is tracking for you in terms of maybe customers that you have signed up for this? Or what portion of revenues this was in the fourth quarter? 
Michael Altschaefl: Sure. The revenue so far for our Maintenance Services division has been rather modest. We've not reported actual numbers for it. It is a growing business that we invested in during fiscal '21. And as I mentioned during my comments, we expect it to grow into a significant business for us in the future. So I'm not quite prepared to talk about actual customers at this time. But if we would enter in any substantial contracts that require disclosure, we would do that. 
 But I will tell you that we're having fruitful conversations with some of our existing larger national accounts of how to work into some of their service opportunities and also talking with new customers about opportunities. So we're optimistic about it. We think we're in the right space. We think there's opportunity, and we expect to be able to talk more about it in the future. 
Amit Dayal: No, that's understandable. And then when we think about the services opportunity for you, should we think about it in terms of this tracking against new deployments? Or do you have an opportunity to offer this to older customers or prior deployments as well? 
Michael Altschaefl: Sure. We absolutely have the opportunity to offer this to past deployments also. So we see it as an opportunity to bring it to the table when we are talking with a new customer about their installation needs of having this ongoing maintenance capabilities for them. But we certainly are also going to be going back to our existing customers where we've got installations in place to talk with them about our ability to provide lighting, electrical as well as some other maintenance services to them. So it's really as wide open for us of both new and prior installations. It also is open to us for customers we have not done installations for in the past. So there really are several different areas that provide opportunity for us for the services business. 
Amit Dayal: Okay. And then with respect to the outlook for fiscal '22, the $150 million to $155 million in revenues, is majority of that already in backlog or contracted? How should we think about you? How much of that is? Sort of already in the pipeline for you? 
Michael Altschaefl: Sure. We probably kind of talk about a little more from a pipeline standpoint as to where we stand. So no, I'm not going to -- today, at this early stage, say that all of that is in -- absolutely in backlog or contracted. What's normal for our business is that we have a fair amount of business that comes to us during a fiscal year that we both sell and perform, but we are really encouraged. We feel comfortable setting out that my goal of revenues for next year based on the customer conversations we've had. 
 We build up our plan based on specific discussions with customers, our larger national accounts, the feel for where we might be with distribution as well as with our ESCO and contractor business. And we feel confident about where we stand on it right now. So we do have contracts in place that we've announced previously to continue with some of our larger national accounts and the conversations in the public sector and some other areas of automotive, and health care continue to be very promising. So that's my view, Amit. 
Operator: Our next question comes from the line of Alex Rygiel from B. Riley. 
Alexander Rygiel: Any chance you could quantify the headwinds as it relates to sort of your revenue guidance? 
Michael Altschaefl: Well, I think maybe the way I would suggest we think about that is that we have laid out this revenue range of $150 million to $155 million, knowing that there are certain headwinds out there for us. And we just felt it was important given what we assume many investors understand is going on, not only in our industry, but just generally in the manufacturing businesses that there are some challenges with supply chain for a variety of reasons that I mentioned on the call today. 
 And so we think that if there is not a significant worsening of what we're facing right now. We feel very comfortable with that. But we just felt it was important to at least say that either the recurrence of significant COVID-19 pandemic impacts, which we, at this point, do not see or if some of the supply chain challenges or labor shortages could get much worse, it could have an impact. So I'm really not prepared to kind of give a specific dollar amount or percentage to it. And right now, we continue to feel that we have laid out a number that we are comfortable this time with $150 million to $155 million. 
Alexander Rygiel: And then regarding your M&A -- go ahead. 
Per Brodin: Alex, I just thought I add something, too. If you look at our balance sheet, I think you'll see that we've made some strategic investments from an inventory standpoint. So we are doing what we can to mitigate those headwinds, and we'll continue to do that as part of our managing of this risk as much as possible. 
Michael Altschaefl: Great, we actually -- if I can just, one more thing, Alex, sorry to interrupt you. We actually see -- some of these things are going to happen, they're part of business. We actually see them as an opportunity to outperform our competitors because we think we are the ability to make decisions to be nimble. As Per mentioned, we've got the financial strength to take more physical fold of inventory order further out. And so we take these things in stride and feel very good about our ability to still perform given some of those challenges. 
Alexander Rygiel: And then with regard to your pipeline of projects for larger customers, obviously, it appears to be very strong. Can you talk about how these may roll in or roll out over the next few quarters? And should we be at all concerned about sort of the time line of rollout and any potential delays? 
Michael Altschaefl: Well, at this point, we are not seeing any possibilities of delays, either from -- for the several things that I've mentioned that could impact our business. And from what we are seeing, our customers continue to be performing well. We've often said that we would encourage shareholders to think about the full year and the fact that we do have a project-based business, in addition to our services business, and we have recurring revenues in some respects. But repeat customers on a number of projects, sometimes things can bump around between quarters for a little bit for a variety of reasons. It may often be because a customer is not quite ready for us in a facility, they need to push it out for a few weeks. And those could have some impacts from a quarter-to-quarter basis. 
 So we really would encourage people to be thinking about what we're providing as our sales goal and guidance for the full fiscal year as to how we are going to perform for this current year. But we are very encouraged by the last half of fiscal '21, that came in right where we had given an indication of back in both November and February, so we do think we have a history of being able to see pretty well out and give a good range of where we think we might be. 
Operator: Our next question from the line of Eric Stine from Craig-Hallum. 
Eric Stine: So maybe just sticking with the outlook for fiscal '22. I know that in the past, you had thought that fiscal '22 would exceed fiscal '20 and that EBITDA and EPS would be better than fiscal '20 and maybe just stick into EBITDA. I mean is -- was that left down just as kind of a nod to the uncertainty related to some of the costs and some of the supply chain issues? Or is that something that we should still think that if you come in at that revenue range, you likely would exceed fiscal '20 from an EBITDA perspective? 
Per Brodin: Yes, I think that if we come in at the $150 million, we should be right around that same EBITDA range as 2020. The EPS is, obviously, going to be different because of the fact that we're now going to book tax provision, so yes. 
Eric Stine: Got it. Okay. So you're basically just assuming, I guess, both revenues and EBITDA, if things stay as is, do you feel good about that level? 
Per Brodin: Yes. 
Eric Stine: Okay. Good. Maybe just on the acquisitions, the pipeline there, I mean, as you think about that, I mean, do you envision those more as bolt-on acquisitions? Or are you actually looking at some large acquisitions? And then I'm also curious, is this a result of some feedback that you've gotten from customers to add this to your turnkey offering in some of these applications? Any thoughts there would be great. 
Michael Altschaefl: Absolutely. We actually previously have looked at both opportunities of some small or mid-sized bolt-on acquisitions. And we've looked at some situations that one could say we would be a little bit more transformative of a larger size, Eric. And we feel we have the financial strength and the ability to raise money if we need to through debt markets, perhaps equity to look at something larger if it really makes sense for our company and for our shareholders. So we are not limiting ourselves to in any direction of large versus small, but want to be open to all opportunities. 
 But certainly, from a management team and a Board standpoint, we understand that as opportunities get larger, the dip needs to be more clear and the opportunity needs to be something that we think really can be good for our company and good for all of our stakeholders. 
 Secondly, we do have some conversations with customers when they say, are you getting into these areas, can you help us in some of these areas? So some of these things that I've mentioned have been driven by customers asking about our ability to help them in different areas. Maintenance Services is certainly one of those we've talked about, which is one of the goals we could perhaps ramp up with an acquisition. But we also think that there could be some interesting opportunities when we think things like solar, maybe EV charging stations, we've got a very large retail big box customer base over the years. 
 And we expect some of those may be looking down, continuing to look at some of those options, some probably have solar already, some might have it. And EV charging stations might be more prevalent in some of these areas in the future. So part of it, we look at it is we have excellent project management capabilities. And if we can find something that fits with our customer base, fits with those core skills that we have, is around the electrical, energy saving, energy storage area, these are just things that we want to look at. So we wanted to make it clear that we are more active than we had been in the past. That's partly because we've been successful, and we feel we have a strong balance sheet and a good vision of where we want to go as a company. 
Eric Stine: Got it. And then the Maintenance Services, I mean, I would assume that, that would fit pretty well with expanding in these other areas, solar, EV charging storage, wherever it may be. 
Michael Altschaefl: It really would. And part of it for us is that we are a company that physically kept things installed. And so whether it's installing light fixtures or installing lighting controls or start installing sensors, one, somebody has to do the installation for some of these things. And again, that goes back to your program management capabilities and project management capabilities. 
 And number two, all of those things we've talked about do require ongoing maintenance services. And so it's great full complement of things we can bring to the table for potential customers to not only help them upfront but then be with them in the future with those systems to keep them well maintained. 
Operator: Our next question is come from the line of Cliff Rakowski as a private investor. 
Unknown Attendee: So it's difficult to check seasonality of your company because, obviously, last year was very unusual, and your revenues have grown. So would you say that in the coming year, there will be some kind of -- it will be weighted towards the beginning, towards the end, it will be linear? Or you come out strong? Are you kind of planning to have supply chain difficulties this current quarter and then to make up for it in the later quarters or anything like that? 
Michael Altschaefl: Sure. Well, I think that I would go back a little bit to what I commented in one of the earlier questions that we would encourage people to think about an annual basis for us when we are laying out our revenue guidance for the year. We had last fiscal year provided some quarterly information just because it was such an unusual year with COVID and things got delayed and then came back very strong. We thought it was helpful to tell people that the second half of our year is going to be very strong. 
 So to say that it is going to be straight linear, we don't think we can say that. We continue to feel confident about the revenue range we're laying out for fiscal '22 of $150 million to $155 million. We don't see some of the challenges we've talked about having a significant initial impact to us. And we'll see how things progress. We've kind of baked in some of those challenges right now into what we've laid out for our revenue goal for this year, clip, and we'll see how things kind of develop as we go along. 
 So I think, again, just ask shareholders to keep in mind that we are project-based and repetitive customers that sometimes we can be a little bit lumpy from quarter-to-quarter as things kind of move around. But often if not because things were canceled, they simply are delayed and they might flow into the next quarter for us. 
Unknown Attendee: Okay. That's understandable. Also, about gross margin, it seems like this past quarter, you were already well ahead of the fiscal year  '20 gross margin. And I mean, you are -- I think, you are predicting EBITDA around the fiscal year '20 level. So are you saying that gross margin will kind of go down in the next year? And if so would that be because of the semiconductor shortages? Or is that just you being safe? 
Per Brodin: This is Per. I think the way we look at it is we've been working on expanding margins, particularly gross margin over time. I think that will still be an objective for us. If we're able to do that, we certainly would outperform fiscal '20 at the gross margin line. I think one thing you need to keep in mind, probably from a fiscal '20 standpoint, is that  was a year of significant growth. And so the company probably hadn't made all the infrastructure investments that were necessary to support a $150 million business. And so as it ramped up from a business volume standpoint, it was also necessary to add some more resources internally that show up now in the operating expenses section to accommodate that level of revenue. 
Operator: [Operator Instructions] Our next question will come from the line of [ David Dorette ] as a private investor. 
Unknown Attendee: Mike, you guys hear me? 
Michael Altschaefl: Yes. 
Unknown Attendee: Okay. I got -- you have a medical background for years. So my 3 questions I have are going to be laser-focused to PureMotion product and what you guys are doing there. I think it was a little early to ask you guys when you announced it, you've had time to get out in the field and get some feedback. So first -- my first question is, tell me about competition, when you were looking at this technology, this [indiscernible] technology and you chose that, what other competitors come close to their product? Is there any out there? That's question one. 
 Questions two, addressable market. Schools, food processing plants, airports, all these type of fields can use this type of UVC product to kill the COVID. What has been your feedback if you've talked to any of them, big large companies? And give me a scale of 1 to 10, 10 being excited when they see the product of PureMotion, are they excited? Do they look like they would be interested in the UVC product to cure the COVID or at least reduce the COVID spread in their facilities? 
 And then my last question is if and when you got a big order for UVC product for the PureMotion, could you guys -- do you have the production capacity to supply the product to the consumer? 
Michael Altschaefl: So let me do my best to answer those, I might kind of lead back-and-forth between the 3 of them. So first of all -- from a competitive standpoint, as you provably know and perhaps others on the call, UVC has been used for a long time to impact air, if you will, or treat air through air systems and also through water systems. And so there is competition out there. 
 We did look at other technology and others who have certain units that provide both air movement as well as UVC. And we decided to partner with an existing business partner with their air movement technology because we thought it was a good balance between being designed very well, having intellectual property that protected the air motion side of things. And the initial work they had done in the market gave us some confidence that we thought this could be a very good product. And so we work with them to incorporate this into a product that we could launch for ourselves is this PureMotion product. 
 Things that we looked at when compared to competitors, we tried to understand where things were from a design standpoint. From a serviceability standpoint, one of the things that people need to think about down the road is how do you service something like this, a safety standpoint. UVC cannot be directly impacting people. And so we helped design this UVC chamber in this fixture. That has gone through UL testing and passed. And when we sell it, it does not need to be specifically noted as being something dangerous because the light is completely encapsulated inside the fixture chamber. So those were some of the things we thought about from a competitive standpoint. 
 And yes, we felt very confident this was one that we thought could work very well for us and fit into the space and we were looking at. From a feedback standpoint, so far, it's been quite positive. And you've talked about opportunities, we have talked with people in the public sector, which could include, as you mentioned, school systems, could the other kind of government agencies, hospitals. And we see a lot of different opportunity. You could think about fitness centers, locker rooms, professional teams having this, as you said, meat packing, et cetera. So there's a lot of different areas where one could see it being. 
 We -- with a lot of partners, there's been conversations in airports. We see as a very intriguing idea in certain areas that you could be impacted by the UVC part of the PureMotion. 
 On scale of 1 to 10, I would say people are -- I'm not going to probably dial in exactly, but it's been towards the higher end of the scale of people being very interested in this product. And I think people are obviously thinking about safe buildings, providing more comfort to their employees as they come back to the work space, and this could be a product that could help them in doing that. 
 And I also would just quickly digress and say, we've had a product for a number of years that is in the 405-nanometer spectrum of the light wave, which has an impact on viruses also. It has the ability on the surface side to kill viruses, kill bacteria and mold. And so we actually have a dual solution where this PureMotion could help in the air movement and the 405-nanometer product, which incorporates some technology from one of our partners could handle that in the surface side of things. 
 So we really have 2 products at this point that would be bring to the marketplace. So our initial feedback has been good. Like any new product, it tends to be a little bit longer sales cycle, and so we're starting that, and we'll keep people informed as we make some progress, but we feel really good about the feedback so far. 
 And then to your last question, if we got a big order, we feel very good that we could ramp up to manufacture and assemble a product that would be needed if we receive some larger orders. We -- as we mentioned earlier, have put certain inventory in place to manage against supply chain issues. And so we feel comfortable we could manage a certain level of manufacturing. If things got huge, there could be some future delays of just supply, particularly the UVC boards that are needed for this. And we have incorporated our product around the product because we felt it was more of the best proven in the industry right now. 
 So we're very optimistic about this, and look forward to being able to talk about it more as we make some headway with their products. So thank you very much for your questions, David. 
Operator: And I'm not showing any further questions in the queue. I'd like to turn the call back over to Mike Altschaefl for any closing remarks. 
Michael Altschaefl: All right. Thank you, Victor, and thanks again to everyone who joined us today for our call, and we appreciate your interest in Orion. We will be participating in the Craig-Hallum Virtual Investor Conference tomorrow, June 2, and we will also be participating in the LD Micro Invitation on June 8, which is also virtual. 
 And during the period of social distancing, we have participated in several other virtual conferences, which are recorded and available on our website. And as always, you can contact our IR team with any questions or to schedule a call with management, and their contact information is included in today's press release. 
 Well, thanks again. We look forward to updating all of you on our fiscal '22 Q1 call. Have a good rest of the evening. 
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.